Operator: Good afternoon, and welcome to the First Quarter 2025 Financial Results Conference Call for Verb Technology Company Incorporated. At this time, all participants are in a listen-only mode. Please be advised, the call is being recorded at the company's request. On our call today is Rory J. Cutaia, Verb's Founder, Chairman, and CEO. Before we begin, I'd like to remind everyone that statements made during this conference call will include forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties that can cause actual results to differ materially. Forward-looking statements speak only as of the date they are made, except as required by law as the underlying facts and circumstances may change. Verb Technology Company disclaims any obligations to update these forward-looking statements, as well as those contained in the company's current and subsequent filings with the SEC. I would now like to turn the call over to Rory J. Cutaia, CEO. Rory?
Rory Cutaia: Thank you, moderator, and thanks to everyone for joining us today for our first quarter 2025 financial results and business. So, for those of you, who have reviewed our 10-Q file this morning or summarized results in the press release we issued this morning, well, you already know, right? You know the company is firing on all cylinders, and I'm talking about a 12 cylinder finely tuned, exotic sports roaster, and yes, we had a crazy good quarter. This is the Verb we've envisioned, and this is the Verb we've manifested, and this is the Verb we have worked so hard to deliver. And the best part, the really best part is this is just the beginning. I've got to hand it to my management team. They never stop believing to all the trials and tribulations, and we've had more than our share. They stuck it out with me. We drew strength from one another, and no matter what, no matter what, we never gave up. And I appreciate them all so very much and amazing, amazing Board of Directors. And now, that we've begun to hit our stride, they're all feeling it. They know where we're taking this vehicle. And for those of you listening to this, who have stuck it out with us, and for those of you thinking about joining us, from here on out, it's going to be a fun ride. We're cashed up, zero debt, insanely undervalued, and each Verb division is performing very, very well. So, I'm not going to take your time reading the 10-Q or reiterating everything we discussed about the company just six weeks or so ago, when we reported our 2024 results, but I will definitely enjoy sharing some of our team's accomplishments in just the first three months of this year. So, all right. Let's start with revenue. But first, let me provide some context. All right. In Q1 of 2024, we reported revenue of just $7,000. In Q4 of 2024, we reported revenue of $723,000. Definitely a great quarter and the first full quarter, after we instituted a number of changes to our business model. As in the entirety of 2024, we reported a total of $895,000. But in Q1 of 2025, we reported $1.3 million. That's 80% revenue growth over the prior quarter, and approximately, 46% growth over all four quarters of revenue of 2024 combined. And while we've been busy signing and launching a plethora of new clients, we identified what we believe is the hottest AI social commerce technology company in the market and negotiated the terms of $8.5 million cash and stock acquisition, signed a comprehensive term sheet, and then rapidly drove the deal to a closing, all while actively integrating their AI technology into our own platform. We used about $4.2 million in cash in closing an acquisition, and look, I really liked having a very robust zero debt cash to balance sheet. So, being opportunistic, we identified a funding opportunity with extraordinary shareholder friendly terms, negotiated it, documented it, and closed it. A non-dilutive, non-convertible, non-voting preferred stock deal with just a 9% annual dividend. And with that, we added $5 million back onto the balance sheet. This deal is with a trusted financial partner with whom we've now done several very successful deals. I do feel sorry for other companies doing terrible, horrible financing, steep discounts to market price, pre-funded warrants, triple warrant coverage, decimating cap tables and rendering many of these companies unfinanceable going forward, who ultimately get shorted into oblivion and you see it every day. Tough times for a lot of companies and I'm very grateful that we're in such a strong cash position and we've been able to maintain a super clean cap table, no warrant overhang and a very tight flow, and obviously, not desperate to find a source of capital. In fact, without cash on hand, no debt and growing revenue across all business units, we expect to be able to fund operations easily, easily into 2028 and beyond. As to the growth behind MARKET.live, we've signed many very high-profile clients and continue to do so. And I've been asked, well, why aren't we announcing them, which we'd have to do multiple times a month? But the answer is, is most of these deals are where we're white labeling our platform for these well-known brands, and our contract prohibits us from announcing the names. I wish I could. If I could, I doubt our stock would still be trading for 50% of our net cash with zero value, given for all our business units. It's crazy. It's, it's just crazy. I've also been asked why we don't see as many live streams on MARKET.live, as we used to, and that's because our new technology allows us to stream directly from our clients' own websites and then multicast their streams across multiple social media channels simultaneously. And this is really the killer act to drawing so many more clients because it allows these brands to own and continue to own the customer relationship, while still streaming over other social platforms. We're also seeing strong, strong growth in shoppable ads among many other areas of our MARKET.live, and now LyveCom business units. Our telehealth platforms, Vanity Prescribed and Good Girl Rx, continue to grow month-over-month adding recurring subscription-based revenue. And our Go Fund Yourself, crowd-funding TV show is developing an almost cult like following and more and more issuers, who are applying to be on the show, forcing us now to become much more selective and to accommodate demand, we're now shooting multiple episodes twice a month. And of course, issuers pay to be on the show. And now, we're about to launch season two on Cheddar. So, in closing, I refer you to our form 10-Q filed today for greater details, concerning our Q1 2025 financial results, as well as the press release that we distributed today, summarizing those results for additional information that I've not covered in my conference call today. So, thank you. Thank you for your interest in Verb and for taking the time to listen to our Q1 2025 financial results. And I presume, you can tell how excited we are about the business. We're really excited. And yes, I do indeed expect Q2 results to be even better than this Q1. So, stand by.
Operator: